Executives: Tom Barth - Head of Investor Relations F. Thomson Leighton - Co-Founder, Chief Executive Officer and Director James Benson - Chief Financial Officer and Executive Vice President
Analysts: Sterling P. Auty - JP Morgan Chase & Co, Research Division Heather Bellini - Goldman Sachs Group Inc., Research Division Kevin R. Smithen - Macquarie Research James D. Breen - William Blair & Company L.L.C., Research Division James Wesman Timothy K. Horan - Oppenheimer & Co. Inc., Research Division William V. Power - Robert W. Baird & Co. Incorporated, Research Division Steven Milunovich - UBS Investment Bank, Research Division Michael J. Olson - Piper Jaffray Companies, Research Division Colby Synesael - Cowen and Company, LLC, Research Division Jennifer Swanson Lowe - Morgan Stanley, Research Division Philip Winslow - Crédit Suisse AG, Research Division Jeffrey Van Rhee - Craig-Hallum Capital Group LLC, Research Division Edward Maguire - CLSA Limited, Research Division Chad Bartley - Pacific Crest Securities, Inc., Research Division Sameet Sinha - B. Riley Caris, Research Division Gray Powell - Wells Fargo Securities, LLC, Research Division David Michael Dixon - FBR Capital Markets & Co., Research Division
Operator: Good day, ladies and gentlemen, and welcome to the Akamai Technologies Earnings Conference Call. My name is Jasmine, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. And I would now like to turn the conference over to your host for today, Mr. Tom Barth, Head of Investor Relations. Please proceed.
Tom Barth: Thank you, Jasmine, and good afternoon, and thank you for joining Akamai's Third Quarter 2014 Earnings Conference Call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risks and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on October 29, 2014. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we will be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. With that, let me turn the call over to Tom.
F. Thomson Leighton: Thanks, Tom, and thank you, all, for joining us today. Q3 was another excellent quarter for Akamai, with revenues and earning both exceeding the high end of our guidance range. Revenue in the third quarter was a record $498 million. That's up 26% over Q3 of 2013. Our strong financial results continue to be driven by solid performance across all of our geographies and all of our major product lines, with significant growth coming from our security and media products. Our overachievement on the top line was led by better-than-expected traffic and revenue growth from our Media Delivery solutions. Non-GAAP EPS was $0.62 per diluted share, a 24% increase year-over-year. Our overachievement on the bottom line was driven by higher-than-expected revenue, continued strong operational execution and a favorable change in our tax rate. The tax rate change had a $0.02 benefit on non-GAAP EPS that was not included in the guidance that we provided you last quarter. I'll be back in a few minutes to talk more about our achievements in the third quarter. But first, let me turn the call over to Jim to review our Q3 financial results in detail and to provide the outlook for Q4. Jim?
James Benson: Thank you, Tom, and good afternoon, everyone. Akamai continues to execute well and had a great third quarter. As Tom outlined, Q3 revenue came in above the high end of our guidance range at $498 million, up 26% year-over-year and up 5% or $22 million sequentially. This result marks our first quarter of year-over-year growth of over $100 million and represents our highest Q2 to Q3 sequential growth ever. Revenue growth was solid across the entire business, but the overachievement compared to our guidance was driven by unseasonably strong traffic and revenue growth in our Media Delivery solutions. Media revenue was $231 million in the quarter, up 22% year-over-year and up 7% sequentially. These growth rates are particularly impressive when you consider the summer months are historically lighter for Internet use. Traffic and revenue growth accelerated across most of the customer base, with particularly strong growth coming from our largest and most strategic social media, gaming and video delivery customers. We are very pleased with the performance of the media business and remain bullish on the secular trends for this business looking forward. At the same time, we recognize that the drivers of this business, namely traffic volumes and price, can lead to revenue variability from one quarter to the next, given the nature, timing and size of gaming and software releases as well as the adoption of social media and video platform capabilities. Turning now to our performance in security solutions. Revenue was $224 million in the quarter, up 29% year-over-year and up 3% sequentially, with balanced growth across all of our geographies. We are especially pleased with this 29% increase compared to last year's very strong Q3 that was aided by a couple nonrecurring engagements, most notably, the completion of a large custom government project. Within this solution category, we saw solid growth in our Web performance solutions. And as Tom mentioned, we continue to see very strong growth in demand in our cloud security solutions. Finally, revenue from our services and support solutions was $43 million in the quarter, up 32% year-over-year and up 2% sequentially. New customer attachment rates for our enterprise-class professional services and customer support continued to be healthy during the quarter. Switching now to our geographies. Revenue growth continued to be well-balanced across all 3 major geographies. Sales in our international markets represented 27% of total revenue in Q3, consistent with Q3 of 2013, and down 1 point from the prior quarter. International revenue was $135 million in the quarter, up 28% year-over-year and up 1% sequentially. Currency fluctuations had a modest benefit on revenue on a year-over-year basis, but had a $2 million negative impact on a sequential basis as the dollar strengthened sharply late in the quarter. Excluding the impact of currency fluctuations, international revenue grew 27% year-over-year and 3% sequentially. We continue to see solid traction in our Asia Pacific geography and improved performance in our EMEA markets, primarily driven by strength in our Media Delivery business. Revenue from our U.S. market was $363 million, up 25% year-over-year and up 6% sequentially, with particularly strong growth in our large social media, gaming and video delivery customer base. And finally, revenue through channel partners represented 25% of total revenue in Q3, consistent with the prior quarter and up 4 points from the prior year. This year-over-year increase is consistent with first half levels and driven by traction with our carrier partners in particular as well as contributions from Prolexic's channel relationships. Moving onto costs. As expected, cash gross margin was 78%, up 2 points from the same period last year and consistent with the prior quarter as we continue to execute well against our platform efficiency initiatives. GAAP gross margin, which includes both depreciation and stock-based compensation, was 68%, up 1 point from the same period last year, down 1 point from the prior quarter and in line with our guidance. GAAP operating expenses were $219 million in the third quarter. These GAAP results include depreciation, amortization of intangible assets, stock-based compensation, restructuring charges and acquisition-related charges. Excluding these charges, non-GAAP cash operating expenses were $177 million, up $11 million from Q2 levels, and at the lower end of our guidance range, primarily due to less hiring than expected in the third quarter. Adjusted EBITDA for the third quarter was $213 million, up $40 million from the same period last year and up $9 million from Q2 levels. Our adjusted EBITDA margin came in at 43%, down 1 point from the same period last year and consistent with Q2 levels. This result was slightly above the high end of our guidance range for the quarter, driven by a combination of revenue overachievement and operating expenses coming in at the lower end of guidance that I just mentioned. GAAP depreciation and amortization expenses were $67 million in the third quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets and amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $55 million, up $7 million from Q2 levels and slightly above our expectations due to the release of several large internal-use software projects to our network. As a reminder, in Q2, we introduced an additional financial metric, non-GAAP operating income. Non-GAAP operating income is essentially adjusted EBITDA less non-GAAP depreciation expense. This is an operational measure we review internally and believe it is a useful supplemental metric for investors since it captures the depreciation related to our day-to-day operations that the adjusted EBITDA metric does not. And this metric is not impacted by taxes, which can move around quarterly for nonoperational reasons. This is also a very common metric that many of our peers provide. Non-GAAP operating income for the third quarter was $158 million, up $25 million from the same period last year and up $2 million from Q2 levels. Non-GAAP operating margin came in at 32%, down 1 point from both the same period last year and from Q2 levels and at the high end of the guidance range that we provided. Moving onto the other income and expense items. Interest income for the third quarter was roughly $2 million, up slightly from Q2 levels. Noncash interest expense related to our convertible debt was roughly $4 million. As a reminder, this noncash expense is excluded from our non-GAAP results. Moving on to earnings. GAAP net income for the third quarter was $91 million or $0.50 of earnings per diluted share. Non-GAAP net income was $111 million or $0.62 of earnings per diluted share and coming in $0.04 higher than the high end of our guidance range. As Tom mentioned earlier, we had a discrete tax item this quarter that was not included in our guidance and positively impacted non-GAAP net income by $4 million or $0.02 of earnings per diluted share. Excluding this benefit, our non-GAAP earnings would have been $0.60 per diluted share, coming in $0.02 above the high end of our guidance range, driven by the strong revenue performance and slightly lower-than-expected operating expenses mentioned earlier. Given the significant impact of this tax benefit to our Q3 net income, let me provide you with some color about it. This item pertains to the retroactive adoption of a state income tax benefit associated with our software development activities. You may recall a similar tax benefit we were able to take last year related to our federal taxes. While many high-tech companies are able to take advantage of these federal and state benefits, the timing and amount of the benefit reflect an evolving adoption practice in the software industry. As part of adopting this tax benefit in Q3, the accounting rules require a onetime retroactive true-up in the quarter. Third quarter GAAP net income was positively impacted by $16 million or $0.09 per diluted share from this tax benefit. And as I just said, non-GAAP net income was positively impacted by $4 million or $0.02 per diluted share. The net effect of this adoption resulted in Q3 GAAP and non-GAAP tax rates of 22% and 30%, respectively. On a go-forward basis, we expect a tax benefit of approximately 1 point on our GAAP and non-GAAP tax rates. Finally, our weighted average diluted share count for the third quarter was 181 million shares, consistent with Q2 levels and in line with our guidance. Now I'll review some balance sheet items. Day sales outstanding for the third quarter was 60 days, unchanged from last quarter and up 3 days from the same period last year. Capital expenditures in Q3, excluding equity compensation and capitalized interest expense, was $79 million, considerably below our guidance for the quarter, primarily due to the timing of network build-outs that moved into Q4. As a reminder, this CapEx number also includes capitalized software development activities. Cash flow generation continue to be strong in the third quarter. Cash from operations was $173 million in the quarter and $463 million year-to-date. Free cash flow, which includes CapEx spending, was $102 million in the quarter or 20% of revenue. During the quarter, we spent approximately $39 million on share repurchases, buying back approximately 600,000 shares at an average price of $60. As of Q3 end, we had $476 million remaining on our current share repurchase authorization. Our balance sheet also remains very strong with roughly $1.6 billion in cash, cash equivalents and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $900 million. As we've discussed in the past, we believe the strength of our balance sheet and cash position is an important competitive differentiator that provides us the financial flexibility to make key investments at opportune times. As always, our overall goal is to deploy our capital to achieve favorable returns for our shareholders in a manner we believe is in the best long-term interest of the company and our shareholders. In summary, we are very pleased with how the business performed in Q3 and year-to-date. We continue to execute well, delivered strong revenue growth, managed network cost effectively and made the necessary investments in the business that we believe will build a foundation for sustained long-term growth. Looking ahead to the fourth quarter. Holiday seasonality plays a large role in our performance, driven by online retail traffic for our e-commerce customers and traffic for our large media customers. As a result, it is the quarter that is most impacted by the external macroeconomic environment, which remains hard to predict. In addition, we expect significant foreign exchange headwinds from the recent strengthening of the U.S. dollar against most currencies. At current spot rates, foreign exchange is expected to have a negative impact of roughly $6 million compared to Q3 and $8 million compared to Q4 of last year. Lastly, Q3 was a very strong revenue quarter that exceeded our expectations, in our media business specifically. And as I discussed earlier, our Q3 revenue benefited from unseasonably strong media traffic and revenue growth, which may translate into a slightly more moderate Q3 to Q4 growth rate than what we've historically seen. Factoring in all these points, we are expecting another strong quarter with Q4 revenue in the range of $515 million to $535 million. This range represents 20% to 25% growth adjusted for foreign exchange movements over a very strong fourth quarter last year. To frame the guidance range, if the holiday season is strong, we would expect to be near the higher end of the revenue range. If the holiday season is weak, then we would expect to be towards the lower end of the range. At these revenue levels, we expect gross margins to increase slightly from Q3 levels, consistent with seasonal patterns, with cash gross margins of 79% and GAAP gross margins of 69%. On the operating expense side, we expect to grow non-GAAP cash operating expenses by $9 million to $14 million on a sequential basis, reflecting incremental Q4 hiring and related infrastructure spend as well as typical year-end expense items. Year-to-date, we have added approximately 950 employees across the company, with these additions focused primarily in sales, supporting go-to-market capacity, service and customer support staffing and engineering resources. We expect to continue hiring in these areas in Q4 as well. Factoring in all these items I just mentioned, we anticipate Q4 EBITDA margins of 42% to 43%. Whether we land at the high end or low end of this EBITDA range will be heavily dependent on revenue performance. And as I have been messaging in prior calls, looking beyond Q4, we are planning to operate the company in the low 40 EBITDA range as we continue to ramp up the necessary investments that we expect will help drive Akamai's growth and scale beyond 2014. Moving onto depreciation. We expect non-GAAP depreciation expense to be $56 million to $57 million, up slightly from Q3 levels. Factoring in this depreciation guidance, we expect non-GAAP operating margin of 32% to 33% for Q4. And with this -- and with the overall revenue and spend configuration I just outlined, we expect Q4 non-GAAP EPS in the range of $0.61 to $0.66. This EPS guidance assumes taxes of $52 million to $57 million based on an estimated quarterly non-GAAP tax rate of 32%. This guidance does not include any benefit from the federal R&D tax credit which we do not expect to be reinstated by year-end. This guidance also reflects a fully diluted share count of roughly 181 million shares. On CapEx, we expect to spend approximately $90 million to $95 million in the quarter, excluding equity compensation. These levels are higher than what we have spent in the recent quarters due primarily to network deployments that shifted from Q3 to Q4. For the full year 2014, this implies CapEx as a percent of revenue to be slightly above our long-term model, consistent with what I've shared on prior calls. In closing, we delivered an exceptional Q3 after a very successful first half of 2014, and we remain confident in our ability to execute on our plans for the long term. Now let me turn the call back over to Tom.
F. Thomson Leighton: Thanks, Jim. Today marks a special anniversary for Akamai. 15 years ago, on October 29, 1999, Akamai began trading as a public company. At the time of our IPO, we had 350 employees, 50 network partners and 1,400 servers in 20 countries, delivering peak traffic of 1 gigabit per second for a total of 100 customers. In the fourth quarter of 1999, we generated less than $3 million of revenue and a substantial net loss. Today, Akamai has nearly 5,000 employees, 1,300 network partners and over 150,000 servers in 95 countries, supporting peak traffic of more than 26 terabits per second for 5,000 customers worldwide. And in the third quarter, we delivered nearly $0.5 billion of revenue. Unlike many other Internet companies, Akamai is highly profitable. We have grown profits every year over the past decade and we generated nearly $100 million of GAAP net income in the third quarter. There is no doubt that Akamai has come a long way over the past 15 years, and so has the Internet. The global population of Internet users has multiplied more than tenfold from 280 million, which was less than 5% of the world population in 1999, to nearly 3 billion people today. And the number of websites has grown from about 3 million to over 1 billion. The annual e-commerce volume has grown from less than $100 billion in 1999 to a projected $1.5 trillion this year. The number of mobile devices in the world has increased from 750 million to an estimated 8 billion. The accelerating growth of online usage and cloud services is placing significant stress on an Internet infrastructure that was not designed to accommodate the rapidly growing demands for scale, speed, reliability and security. As a result, congestion is increasing at major peering points, which degrades video quality and slows down Web applications. Performance is also hampered by the increasing complexity of Web applications. In the past 2 years, the typical size of a Web page has more than doubled. The number of third-party domains on a typical page is up 56%, and the average amount of JavaScript on a page has grown by 40%. The net result is that the average time to download a Web page from an origin has increased by more than 60% in just 2 years. At the same time, user expectations are that websites and apps should be faster, not slower, especially for the latest mobile devices. Making matters even worse, cybersecurity attacks on major websites are increasing in terms of their size, their frequency and their sophistication. We are now seeing attacks with many tens of gigabits per second of traffic on a daily basis, and some attacks generate hundreds of gigabits per second of traffic, far exceeding what the vast majority of websites can handle using traditional defenses. Given these trends, it's no surprise that Akamai's services are in such great demand and why Akamai remains focused on solving 4 grand challenges for our customers: Delivering the highest quality Internet video at large scale and low cost; making websites and apps be fast on any device, anywhere, even in congested cellular networks; protecting websites and data centers from cyberattacks that aim to disrupt online operations or steal sensitive information; and scaling enterprise networks so they can handle new cloud workloads with speed and affordability. We discussed these grand challenges at our Seventh Annual Customer Conference in Miami earlier this month. The feedback that we received from the nearly 1,600 attendees from 39 countries reinforced our belief that we are focused on solving the right problems and that we have a robust portfolio of products to help them deliver their content to a large global audience to improve their site performance, to secure their online operations and to optimize their enterprise networks. Media customers at the conference indicated that they expect much more high-quality video content to move online during the next several years. Not only is more media viewing shifting online, but the emerging formats, such as 4K or Ultra-HD, require much higher bit rates to satisfy the increasing user demand for quality. Already, we have several customers distributing video at rates near 10 megabits per second, which is about a factor of 3 higher than what was recently the norm. The potential for explosive growth in online video traffic presents us with substantial opportunities. It is the reason why we are continuing to invest in media technology innovation and network build-out. Delivering high-quality video at scale is much more complicated than most people realize. And despite our many competitors and the do-it-yourself efforts by large content owners and service providers, Akamai is differentiated by our success in streaming high-quality video at scale through our unique platform of servers in thousands of locations close to end users. Our tremendous scale is achieved in part through close cooperation with the many networks that comprise the Internet. We locate our servers inside nearly 1,300 networks, and we are forming much deeper relationships with the world's largest carriers. Recently, we were very pleased to announce new strategic partnerships with SingTel and China Telecom, which we expect will further expand our capabilities and capacity in the Asia Pacific region for both local and global customers. Not surprisingly, security was a top concern for customers across all verticals of the customer conference as cyberattacks continued to increase in size and sophistication. Many customers toured our security operations center in Fort Lauderdale where they could see how Akamai's Security Solutions leverage our massively distributed platform as an outer layer of defense while preserving site performance and availability. This high level of interest and engagement by our customers is an indication of why security has continued to be our fastest-growing product category. At the end of the third quarter, over 1,600 customers were using our security products, with more than 850 having purchased one or both of our flagship Kona Site Defender and Prolexic Routed Solutions. During the conference, we also launched our new high-end performance offerings, Ion Standard and Ion Premier. These products are significantly faster and easier to use than our very popular Dynamic Site Accelerator service known as DSA. And they incorporate a wide range of innovative technologies for improving mobile and cellular performance. In fact, data from real end users shows that Ion Premier can cut download times in half when compared to DSA for cellular networks. This is especially impressive given that DSA is already faster than the solutions being offered by the competition. We are currently working on further innovations to the Ion product line with the ultimate goal of providing near-instant response time no matter where users are, what device or browser they are using or how they are connected to the Internet. In summary, we've had an excellent first 9 months of the year and we believe that our solid financial performance demonstrates the soundness and sustainability of our business strategy. As we celebrate 15 years as a public company, we believe that our continued investments in product innovation, sales capacity and platform capabilities are expanding the foundation for our future growth. Thank you for your time today. Now Jim and I will take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: You mentioned in your prepared remarks that you -- the fragmented competition as well as the DIY approach, I specifically want to go into that DIY, which we've talked about a number of times through the years. There was a lot of talk about it in the quarter with a notable customer, and what maybe they did or did not deliver themselves. What would you say, among your top customers, is their thoughts around DIY and how does that impact your business with Akamai?
F. Thomson Leighton: Yes. As we've been saying for close to 15 years, DIY is our biggest competitor. The very biggest media companies, pretty much all of them have had a DIY effort, and I think that's going to continue to be the case in the future. Our job is to invest in research and development and figure out how to do it better at greater scale and at lower cost. And I think, we've had a really good track record of doing that. And so we're always competing with the very biggest customers' DIY efforts, and I think, we'll continue to be successful in that regard.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And then, a follow-up would be, on the media strength that you saw, you mentioned a number of factors that should drive the longer-term growth, whether it's 4K content, et cetera. How do we match that versus things that may drive seasonality, whether it be a software update or social media video or things of that nature that may cause lumpiness? How do we think about those 2 things and how we should be expecting the growth in that segment of the business to trend going forward?
F. Thomson Leighton: Yes. I think, the trends are pretty clear. Traffic is growing, has always grown at substantial rates. I think, there's good reason to believe that it will grow at substantial rates in the future. For Media Delivery, pricing per bit comes down as we find ways to lower cost and make it be more efficient. You take the product to those 2 and that gives you revenue, which has increased at pretty reasonable rates for Akamai over the years. There always will be some lumpiness, as you mentioned, a big software download, a big media event. No one event really dramatically swings revenue, but things can happen. There could be repricing events for a large customer. Traffic can rise and traffic can wane. And I think, the key is not to be distracted by the lumpiness. That's always going to be there. The key is to look at the long-range trends, what kind of traffic might move online, and there's tremendous potential for traffic growth, as you think about more video coming online and having it come online in higher quality, which means more bits per second and more hours of watching online. And I think that can lead to a model that shows traffic growing substantially. We're working to take the cost out to be able to lower cost so that could be affordable for our customers and generate good revenue and profits for Akamai.
Operator: And your next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini - Goldman Sachs Group Inc., Research Division: I had two actually. I wanted to focus on the performance in the Security Solutions segment. I mean, the upside of the last few quarters, it seems like the vast majority is going -- coming from the Media Delivery side. But in this business, where I know you guys are very optimistic, can you walk us through who you see yourself competing with most often in RFPs? And when push comes to shove, what is the reason why Akamai is winning? And are you doing that with other partners when you go in there so you're part of a bundled solution? And then, I was just wondering if you could update us on the Prolexic contribution?
F. Thomson Leighton: Yes, sure. Let me talk about the competition and the partners, and then, Jim will talk about the breakout on Prolexic. The competition depends on the needs of the customer and the product that we're talking about. In security, we're competing primarily with the traditional way of doing things, which would be to buy a box and stick it in your data center, and the goal of the box is to filter out the bad traffic. And the challenge with that approach is that you can't handle the capacity anymore. Just the attacking entities have so much more capability to generate traffic than you can allocate infrastructure to defend yourself with. And that's where Akamai comes in because we have, relatively speaking, an enormous platform and a tremendous ability to absorb that traffic as an outer layer of defense for the data center. So we are competing with the traditional security vendors primarily, and the good news is that the world is moving to a point where you really need Akamai to be able to defend yourself against the large attacks. In the performance category, we compete with a lot of folks. Pretty much all the CDNs will have a product that they say is a performance product, and the goal there is to be a lot faster than the competition. And in all the case studies that we have, working with customers, show that we are. We're paying a lot of attention to the mobile environment and to the cellular environment where performance is particularly challenged, and those environments are a lot more important as more transactions move to mobile devices and over cellular networks. And the new Ion products have great performance there, and they really just perform a whole lot better than the competitor. And of course, reliability, you've got to have many 9s of reliability if you're handling commerce and transactions, and that's another great way we distinguish ourselves against the competition. As you know, the majority of our sales are direct today, but we are growing our channel and partner relationships, and especially our carrier partner relationships. And that is an important part of our growth in the future. And in some cases, we do have products sold through them under their brand name where we're providing the capability behind the scenes. And let me turn it over to Jim now about the Prolexic revenue question.
James Benson: Sure. So I think, as we shared with you, that we're not -- we don't separately disclose security as a segment. We do it -- we'll share that annually with you at our Investor Summit. So when we acquired Prolexic, I think we told you, they were operating at about a $5 million a month run rate. As Tom said, the security portfolio in aggregate is by far our fastest-growing product category. We'll share, obviously, all these kind of the details on a quarterly basis. I think it was worth you commenting that it's true that Media Delivery solutions was really the driver of the overachievement, but we don't want to lose sight of the fact that the performance in the security segment grew 29% year-over-year off of a very strong Q3 of last year. So we're very pleased with the growth, not only in security, but also across all the product lines within that solution category.
Operator: And your next question comes from the line of Kevin Smithen with Macquarie.
Kevin R. Smithen - Macquarie Research: Despite your really strong growth this year, your multiples actually dropped pretty significantly in the last few quarters, and I noticed your share repurchase amount has slowed in the aggregate a lot since Q1. With the stock trading down here, would you consider stepping up the share repurchase meaningfully, actually shrink the shares, as opposed to just offsetting option dilution, or you're saving your cash for deals in security over the next couple of quarters?
F. Thomson Leighton: Yes. That's a great question. I think that -- I think, as we shared with you in the past, that certainly, we're looking at our cash and trying to be responsible and balanced about it. First and foremost, making sure that we can invest in the business with it. I think, secondarily, we are very active in looking at opportunities in the M&A space, and so we want to make sure that we can pull the trigger on that. But you're right that kind of a third area is to make sure that we're at a minimum buying back shares to offset dilution from employee equity grants. And the way our program is structured is we will step up purchasing based on varying stock prices. So if the stock price is lower, you'll see us kind of step it up. Obviously, the stock price was around $60, call it, roughly in Q3 and we bought back a little less in Q3, but you might -- without telling you exactly what we're going to buy back, we just look at it in a very balanced way, and based on kind of all those factors, you can expect that we may increase the share repurchase activity.
Kevin R. Smithen - Macquarie Research: And just on the M&A front, has there been any change in recent weeks on sort of private market valuation expectations here? Or are we still sort of at very high levels? Have you seen any sort of reset to private equity views on IPO access, et cetera?
F. Thomson Leighton: Yes. I mean, you probably know as much as I do in that space that I think the reality is it depends upon the sectors, certainly in the security business, that the valuation is still very, very high. I think, it depends upon the area. We're not just looking in any one particular area. We're looking across the portfolio and potentially adjacency areas, and so valuation varies based on kind of the technology in the area.
Operator: Your next question comes from the line of James Breen with William Blair.
James D. Breen - William Blair & Company L.L.C., Research Division: Just around the media business, and then, with respect to the World Cup, obviously, we saw a lot of traffic spikes during that time period, the end of June into July. How does that follow across revenue with respect to international versus domestic? And then, is that a big factor in the media segment this quarter?
F. Thomson Leighton: No. Actually, you are right, though, that the World Cup straddled both Q2 and Q3. So as Tom mentioned as an opener, that these events, while they contribute -- they do contribute revenue to us, they're more a kind of a showcase of the capability of what is possible for serving live events on the Internet. And so you can expect that we saw revenue for the World Cup in Q2. We saw revenue in the World Cup in Q3. That was not the driver of kind of the media acceleration. Really, the driver of the media acceleration is we had very, very strong growth in revenue, in social media in particular, and we had very strong growth in the gaming sector, and we had very strong growth in the video delivery space. So those were 3 areas that traffic and revenue growth exceeded our expectations.
James D. Breen - William Blair & Company L.L.C., Research Division: And then, just a second question. You discussed recently your relationship with China Telecom. Can you just talk about what that gives you in terms of capabilities, given the growth there on the smartphone side?
F. Thomson Leighton: Yes. That gives us an important partner in China. It gives us better deployment. We're delivering traffic now in China through that partnership. And obviously, China Telecom is an important player in China, and so we want to be partnered with the world's leading carriers, and that was a significant step forward for us.
Operator: And your next question comes from the line of Michael Turits with Raymond James.
James Wesman: It's James Wesman sitting in for Michael. First question, looking to 4Q, are there any greater-than-normal amounts of significant contracts you guys are expecting for renewal?
F. Thomson Leighton: No. I mean, I think, as we've shared with you in the past, that every quarter, we have kind of customers that are coming up for renewal. We had them in Q3. We're going to have them in Q4, but nothing kind of notable.
James Wesman: All right. And then, just a follow-up. I know, Jim, you talked about that your OpEx came in at the lower end of your guide for Q3. You hired a little bit below where you guys were expecting them. Any color on why you guys think you were off target there?
James Benson: I think, we're very aggressive in our hiring expectations. I can tell you that we have a pretty large recruiting organization really actively trying to hire on the sales ranks and in the technical ranks, in particular, as well as services. And I think that we're just -- when you have very aggressive expectation, we became a little bit short of that. Obviously, in our guidance range, we gave you a high and a low, so we were within the range, we were just a little bit on the lower end because it was a little bit lighter than we thought. And you'll see us pick up on some of that hiring in Q4.
Operator: Your next question comes from the line of Tim Horan with Oppenheimer.
Timothy K. Horan - Oppenheimer & Co. Inc., Research Division: Two questions. On the media acceleration side, do you think these trends are secular? Or was there any kind of one time items in the quarter? And I noticed just on that, you didn't really mention software as an impact on the quarter. Maybe just something in there. And then, secondly, it sounds like the performance improvements for Ion are pretty phenomenal. Are you able to kind of price up the products much at this point? Are you seeing much resistance to that?
James Benson: Yes. So on the media side, really, it wasn't -- I would not say there was anything one time. I just -- as I mentioned, I'll reiterate it again, that we just had really strong profit growth across those areas that I mentioned of kind of the video delivery space, the social media space and the gaming space. Those areas are very, very hot right now. For some of the reasons that Tom mentioned, as more content moves online, video delivery is growing. As gaming goes more online versus kind of buying it via a disk, you're starting to see acceleration there, and the same in the social media space. So nothing kind of -- those are more secular trends. As we told you in the past, software, and you could call gaming a software download as well, we've distinguished between kind of, call it, your more traditional software downloads from gaming. We had a good software download quarter. It just wasn't a notable driver of our overachievement. So nothing notable as far as one time, but as I said, that it was kind of unseasonably strong traffic growth, and I know you didn't quite ask the question about the Q4 guidance, but as I mentioned in my remarks, that I think because it was so strong in Q3, we have a range in our guidance that really reflects maybe perhaps the Q3, Q4 growth rates we usually see historically may not be as strong just because of how strong Q3 was. But at the high end of our range, it would suggest that it is. So that's kind of why we guided like we did. So Ion performance, I mean, Tom, you can probably cover a little bit more on the performance side, but we've certainly seen that there is a pricing uplift that you can garner with customers based on performance, and so we have seen that.
F. Thomson Leighton: Yes, the performance is really important to customers. It increases their revenue, it improves their brand. They need to have it. It's really hard to achieve in environments like mobile and cellular, and we've done a lot of investment into innovation there to make it a lot faster. And so we do see upsell there, and the customer is interested in that.
Operator: And your next question comes from the line of Will Power with Robert Baird.
William V. Power - Robert W. Baird & Co. Incorporated, Research Division: I guess, a couple of quick questions. So as you think about the tougher sequential compare from Q3 to Q4, there's certainly been a lot of rumors in the marketplace about your -- one of your largest customers and the largest customer potentially in-sourcing. And so I guess, I'm trying to understand, to the degree that may have had or may be having any impact as to how you think about Q4, if you can maybe comment on that? Then I have a second question.
F. Thomson Leighton: Yes, I mean, I can't specifically talk about any one particular customer. I can tell you that no one customer is a notable change from Q3 to Q4, and that is not really a driver of why something is maybe going to be less than it's been historically. So without talking about a specific customer, I can tell you that there's nothing notable in our guidance that suggests that there's a change in any one customer.
William V. Power - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then, I'm wondering if you could just talk about the CDN competitive climate generally, whether it's level 3 Amazon, all the variety of customers that are out there. Have you seen much of a change from a pricing dynamic or anything else in the marketplace?
F. Thomson Leighton: I think, the CDN competitive climate has been challenging for the last 15 years and will continue to be so. There's a lot of competitors, and we work very hard to do a better job of it, be more reliable, higher scale, better performance, better video quality and to be affordable for our customers. And I think we've had a lot of success. If there's been a change per se, I would say that our success in working with the major carriers has been a helpful change. Many of the carriers were competing with Akamai, and you're seeing in the last year to 2 years, several of the big carriers now converting to the Akamai platform, and working together with us. And I think, that's been a fundamental shift that's been helpful to us, but there's a lot of competitors out there.
Operator: And your next question comes from the line of Steve Milunovich with UBS.
Steven Milunovich - UBS Investment Bank, Research Division: Great. I was going to ask you about your sales. I mean, could you just remind us when you started accelerating hiring of sales? And given that, I think, you said it takes about 5 quarters to really be productive. What percentage of your hires are now productive? And is that contributing to the revenue growth that you're seeing?
F. Thomson Leighton: Yes. We began in the kind of the back half of 2012, stepping up the investment in the sales force, and it's ramped since then, obviously, through 2013. And a similar level of kind of hiring here in 2014. And you're right, it takes about kind of 5 quarters for a rep to kind of become fully productive. And we certainly see reps ramping kind of from first quarter to fifth quarter. I think, what we found that maybe -- we were initially thinking that -- I think, what we had shared was we would see the reps focused more on the performance and security space. And I think, what we found is some of our media performance has been driven by some of this rep productivity, that we've had some nice customer wins with some of the reps that we've added. So I think the reps are producing well. And of course, they're contributing to the growth that we've seen. We're -- we grew the performance and security business 29%. We grew it 30% in Q2. We grew the media business 22% this quarter. So certainly, the reps are really the kind of the key driver of that.
Steven Milunovich - UBS Investment Bank, Research Division: And then, I wanted to ask on security side. It looks like you ticked off a couple of things during the quarter, talking about some Linux bugs and so forth. Are those important? Are people noticing you because you're catching things out there? And could you also clarify for us how much is on-prem and off-prem because I thought Prolexic had a fair amount of on-prem security software.
F. Thomson Leighton: No. Primarily, the security software from Prolexic is off-premise. It's in the scrubbing centers that we are now expanding and growing on a more global basis. The attacks that you probably read about in the headlines, I'm -- there could be attacks on customer sites, which we defend, and have had a very successful track record there. There's also been some headlines about vulnerabilities in core software, things like SSL V3, Bash, Open SSL, the kinds of things that a lot of people use that suddenly the world discovers have backdoors or ways in to compromise the software. And we have been taking a leadership role in talking about that. A lot of the companies don't like to talk about security vulnerabilities, and we've open-sourced our patches for some of those vulnerabilities, and really just taking a leadership role in the community to acknowledge what's going on to try to educate people what they need to do and give them advice on what -- here's how we think you should be able to defend against or fix this kind of a problem.
Operator: And your next question comes from the line of Mike Olson with Piper Jaffray.
Michael J. Olson - Piper Jaffray Companies, Research Division: Following on that sales headcount question. Specifically, are still on a run rate to add around 100 salespeople this year? Or have you changed any plans there? And should we expect the new adds will be a lot lower next year? In other words, will you have kind of hit a number by the end of this year that feels right?
James Benson: Yes. We didn't specifically provide a number for this year. We simply hired kind of roughly at similar amount to what we did last year. So I mean, you're in the zone of roughly what we're going to hire for sales reps. And I'm really not going to comment about what we're going to do next year, but you can expect that the investments that I mentioned, we will continue make investments in the sales organization.
Michael J. Olson - Piper Jaffray Companies, Research Division: All right. And then, on security, you mentioned more than 1,600 security customers at the end of Q3. And I think, the monthly ARPU was around $7,000 last quarter in Q2. Is there anything you can say about what you're expecting that 1,600 number to go to as far as customers in 2015? And then, could you tell us what ARPU was in Q3 and maybe also where you think that may be trending?
F. Thomson Leighton: Yes. I'm not going to comment on the ARPU specifically. I will share that at the Investor Summit that we have coming up, but I can tell you that, certainly, there is huge demand for our security offerings. And we have roughly kind of, call it, 5,500 customers today. Those security offerings are relevant to all those customers. And there are customers that we don't have today that we're going after that are relevant in the security space. So I think, there's a huge opportunity for security. As you know, it takes a while to get penetration in that space. Acquiring Prolexic was a huge benefit because we immediately -- not only technology, but capability from a people perspective and a sales perspective. It's a different kind of a -- it's a different way of selling than our historical reps have sold on the performance side, and it takes a while to get comfortable in doing that, but we expect to see continued traction and penetration of selling security across our base and new customers.
Operator: And your next question comes from the line of Colby Synesael with Cowen & Company.
Colby Synesael - Cowen and Company, LLC, Research Division: Yes, if I go back a few years under the previous CEO, he had talked about how the Media & Entertainment business, which was a line item at that point you're providing, how in the future, he thought that as you saw more professional content come online, we saw more devices in the market like smart TVs out there to support it, that we could see an inflection in that business and that ultimately can get to a more higher sustainable growth rate than what we're seeing, at least at that point. And when I look at your revenue growth in the media business or media line item that you provided today, we're certainly seeing that acceleration. And I was just wondering if you -- what your conviction level is on the sustainability of these trends that we're seeing in the market. And is it fair to make the argument that we have seen an inflection and that one could make the argument that we should be looking at a higher growth rate for this business than what we've seen at least the last few years?
F. Thomson Leighton: Well, again, revenue is the product of traffic and price when it comes to video and media. And traffic's growing, obviously, at a substantial rate. And price continues to decrease and we work hard at allowing that to happen by lowering our cost. I think, the only real way to know that there's been an inflection is to get into the future and then look back at the graph and you could say, "Ah, that's where it happened." But given where we are today is, I think, you could look forward to what might be. And one of the ways we look at it, without knowing what the date is going to be, say, but you could imagine a future world with 2.5 billion people that go home at night, in prime time, watch a show. We're not there today, obviously, although you do probably have close to that number of people watching a video, at least from time to time. But say, on a typical day, they go home and they watch something online, and you can imagine a world when that's happening at a rate of about 10 megabits a second. We already have customers that are streaming at that rate. It's probably not good enough to do 4K, so we're not even thinking about a future world where 4K is ubiquitous, although maybe that will happen. But if you have that world with 2.5 billion people at 10 megabits a second, and you multiply that, that's 25,000 terabits a second. Now that's a big number. Just to put it in context, Akamai is now delivering at north of 25 terabits a second, and we're a pretty big portion of the Internet. And so you look at 25-plus today, you can imagine a future world with 25,000. Now that's a big potential growth in traffic if it were to take place. Now of course, costs are going to have to continue to come down for that to even be affordable, but we're working hard on next-generation video delivery technologies to enable that to take place, to make that be possible. So as we look to the future, we think there could be a lot more traffic that could come online and that could be very helpful for our business.
Colby Synesael - Cowen and Company, LLC, Research Division: You -- maybe that's slightly different. Do you see structurally or fundamentally -- do you have a view why either the media and Media Delivery business versus the performance and security, why one would necessarily be a faster grower long-term?
F. Thomson Leighton: I think, they're different businesses, and so they're going to be affected by different things, and they'll have, I think, generally, independent growth rates. Of course, as more stuff is done online and you can have a crossover between media and performance and also security. So generally, the tailwinds are supporting the growth of all of those businesses: media, performance and security. And we're in a mode now where performance and security is growing at a faster clip than media, but both are growing at very healthy rates.
Operator: And your next question comes from the line of Jennifer Lowe with Morgan Stanley.
Jennifer Swanson Lowe - Morgan Stanley, Research Division: Great. I had a quick question. Looking at the strength that you've seen on the traffic side for the last few quarters now, is there any scenario where that would potentially start to impact CapEx, where you might have to spend more on your network infrastructure over a certain period of time to keep up with that traffic growth?
F. Thomson Leighton: Good question, Jen. I think, as we've shared with you in the past, that we think of deployments over kind of a 3 to 6-month horizon, and we're building out kind of the network to support that. You certainly heard in my guidance for Q4 that I guided to kind of an uptick in CapEx and I specifically mentioned that the area that you're going to see kind of a sizable uptick is on the network side. And you can kind of take that to mean that we're doing incremental network build outs to support what we believe is going to be kind of incremental demand. And the way it works is, obviously, you try to build out the network to kind of support all the traffic that you can, the best case. And if, in fact, you don't quite hit that, you'll basically grow into that the following quarter. So I do believe we're going to be able to stay within our model on CapEx as a percent of revenue for the company. I think, I said, this year, we might be a little bit at the high end, but that's largely due to some extraordinary CapEx, some related to the Prolexic acquisition and some related to just some bigger facility and IT buildout that we're doing, but we still think, going forward, we can stay within the model range that we've outlined.
Operator: And your next question comes from the line of Phil Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Most of my questions have been answered, but I want to focus in on the gross margin line. You showed a little bit of upside again this quarter to your guidance. And then, your Q4 guidance has about 100 basis points ahead of where consensus was. I wonder if you guys can give us just a sense of what's driving that gross margin? How much of this is mix versus kind of the structural side and just network grooming, optimization, et cetera?
F. Thomson Leighton: Yes. I would say that less of it is due to mix, to be frank, and more of it is just continued work by our network and kind of media teams on driving efficiencies on the network, and that's really the more notable driver of -- and as you know, it's -- we've been on a pattern here for 3 years now where we continue to kind of grow and expand gross margins. I think, they went up a little bit. They were roughly flat from Q2 to Q3. Q4, seasonally, you do see an uptick in gross margins because you see a large growth in revenue from Q3 to Q4. And so having an uptick in margins in Q4 is not really kind of surprising, but I would expect that, I think, as I've had -- I would expect we can stay kind of within the range that we're at, and I kind of said plus or minus 1 point, and that's -- we're confident because we're confident that the work that we're doing with a bunch of things that we can continue to do to drive network efficiencies.
Operator: And your next question comes from the line of Jeff Van Rhee with Craig-Hallum.
Jeffrey Van Rhee - Craig-Hallum Capital Group LLC, Research Division: Great. Just 2 quick ones. Jim, you mentioned on the sales side, with all the heads, the original goal is to target them at the performance and security solutions side. What's -- with media, my assumption was that it was a lot more penetrated. You've approached most of the Tier 1, Tier 2 properties. Can you just expand on that a little bit? Where do these people find greenfield opportunity that you decided to put resources there?
James Benson: That means -- there's a lot of greenfield opportunity in media. There's certainly some in the U.S., and there's a lot outside the U.S. So a fair amount of our sales force investments have been made outside the U.S. We aren't nearly as penetrated outside the U.S. And so I would say, notably, the reps that we're adding outside the U.S. tend to be focusing a little bit more initially on kind of media, and then, also, performance and security thereafter, but that gives a little bit of color on kind of maybe where it's coming from.
Jeffrey Van Rhee - Craig-Hallum Capital Group LLC, Research Division: Yes, that makes sense. And then, last one is, can you just give any update on the Cisco router with the embedded Akamai capabilities, I know it's early, but any variants from expectations there?
F. Thomson Leighton: Yes, we're in the very early stages there. Akamai Connect is the product name that comes with the new high-end Cisco branch office router, and we have our first sales, but it's still in the very early stages.
Operator: And your next question comes from the line of Ed Maguire with CLSA.
Edward Maguire - CLSA Limited, Research Division: I was wondering if you could comment on the trends in mobile traffic that you're seeing and how that's tying into your mobile offerings? What proportion of traffic that you're delivering is -- are you delivering it, or is it within your expectations?
F. Thomson Leighton: Yes, the percentage of the transactions being done on a mobile device is increasing at a very rapid rate. Some countries, it's the majority. Here, it's less than half, but approaching half. Now the bits going to a mobile device, maybe a little bit less in terms of bits, but yes -- and it's something we have separate mobile offerings because so much of the traffic is mobile now that the Ion product line is focused on that, but it's not a separate service you buy for mobile. It covers your properties however the end user is going to access them.
Operator: And your next question comes from the line of Chad Bartley with Pacific Crest.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: In terms of the guidance, the comments on the holiday season relative to the high end and low end of the range is always helpful. Can you share any similar commentary for media traffic growth rates and what the different ranges assume?
F. Thomson Leighton: Yes. I mean, we don't guide specifically for media versus non-media. As I did mention, though, just to make sure that I was clear, that, I think, sometimes people think of Q3 to Q4 or Q4 being kind of holiday season and kind of more on the commerce front. And that's certainly a big driver that you have a huge commerce season in Q4, but it's also a huge traffic season, gaming releases, and there's just a lot more content that has moved online. So without giving you kind of a specific number, certainly, I will tell you that you can expect in the guide, obviously, we're expecting a very healthy growth rate off a very strong Q4 of last year. I will tell you that kind of the slowing growth at the midpoint relative to where we were in Q2 and Q3 is going to be the media business, and I think that, that's just because we believe that we don't know whether Q3's strength is going to kind of buffer maybe what we've seen historically from Q3 to Q4 at the high end. It would suggest that we continue to have a very strong seasonal traffic quarter like we've seen historically, kind of both on commerce and on media.
Operator: And your next question comes from the line of Sameet Sinha with B. Riley.
Sameet Sinha - B. Riley Caris, Research Division: The information that you gave on the new Ion product sounds impressive. In the past, whenever you spoke about Ion versus DSA, the performance has been there, but you always mentioned that the penetration rate or at least the adoption rate amongst your customers has been low for Ion just because they are just happy with what they have with DSA. Can you talk about any changes to your go-to-market strategy or your sales strategy to convince them to upgrade to Ion, which seems like it's getting some pricing benefit as well? And my second question is regarding 2015, kind of margin indications that you've given. If you can just elaborate on that some more, where are you going to be investing? I would appreciate that.
F. Thomson Leighton: All right. Well, let me take the first question. The primary driver to Ion is performance, and particularly situational performance. And that means that maybe it's the mobile user, maybe they're on a crowded cellular network, maybe they've got a different type of browser or operating system. And Ion gives much better performance and also combines with real user measurements. So you see what the real user on the site is experiencing, and that's very useful for our customers. Another big aspect of Ion is that we're making it a lot easier to use. When we first introduced Ion a little less than 2 years ago, it was pretty complicated to do the integration. And with the new Ion standard, pretty much the customer can do that themselves, and that's a big step forward. And I think, that will make it much easier for widespread adoption. And with Ion Premier, that's also easier. It still requires Akamai to help integrate, but it's much easier than it used to be. So I think, the combination of ease of use, real user metrics and substantially improved performance, especially in the increasingly important and hard area of mobile and cellular, is what drives adoption of Ion. Jim, do you want to talk about the margin?
James Benson: Yes. And relative to kind of -- what I'd shared was I said they're kind of looking forward beyond Q4 that -- and I said this in the past, that we expect to operate the company in the low 40s EBITDA. I just want to make sure that I remind folks of that. And we're going to hiring in the same areas we've -- we're going to continue to hire in the sales force. We're going to continue to hire in supporting kind of go-to-market capacity. We're going to continue to hire in services. We're going to continue to hire in the technical ranks on the network side, in the products side around kind of some of the engine -- some of the areas that Tom had outlined. So it's just a continuation of the hiring and our expectation is you're going to see an acceleration in innovation and you're going to have a sales force that is going to grow. As the company gets bigger, we need a larger sales force to be able to grow at the rates we think that the market opportunity is there for, and so that is kind of the driver of kind of what's -- what I'm signaling for kind of 2015.
Sameet Sinha - B. Riley Caris, Research Division: And would hiring on the sales side, would that continue to be more focused internationally? Or do you think it's -- you have opportunity domestically as well now?
James Benson: Or no. Just to be clear, I mean, so we've -- our investments kind of in sales may have been a little bit more weighted towards international but we've been hiring in the U.S. as well and you can expect we'll continue to hire in the U.S. We are not nearly penetrated in the U.S. either.
Operator: And your next question comes from the line of Gray Powell with Wells Fargo.
Gray Powell - Wells Fargo Securities, LLC, Research Division: Great. So this year, the percentage of sales through resellers has increased to about 25% from 20% last year. Why is that happening given the increase in direct sales reps? And then, how does that shift impact margins?
James Benson: That's a good question. I think, I shared earlier in the year, either in Q1 or Q2, when we saw a notable uptick in the channel, some of it is that we're getting much better traction with some of our carrier partners. And admittedly, I think, I had shared this on a prior call, that what we've also done is we've ceded some of these carrier partners by customers that were direct to Akamai, we have moved some of those customers to the carrier to actually kind of help provide them a customer base to start with. So some of that growth rate is from moving customers that were direct to indirect. But kind of put that aside, we've been growing nicely in the channel space, and we've been growing nicely with the carriers in particular. And kind of the last noteworthy area is the Prolexic business had a much heavier weighting of their revenues through indirect channels than Akamai did.
Gray Powell - Wells Fargo Securities, LLC, Research Division: Okay. And then...
James Benson: In the margin profile, I would say that the -- as you would -- I think, once you get the channel to scale, I think, right now, the channel does require support from Akamai, but once we can get the channel to scale better, you're going to get better margins through the channel. I'd say that they're similar now. They're not better. But I think, longer term, you're going to get kind of better margins through the channel than through the direct model.
Gray Powell - Wells Fargo Securities, LLC, Research Division: Got it. That's really helpful. And then, you called out a 200 basis point impact from the Prolexic acquisition on the margins. Just how should we think about the timing for integration and the potential for those costs to come out at some point?
James Benson: Well, I think, what we had said -- you're right, we had said that you were going to see an impact on EBITDA in kind of the near term. And we said that in the first year, that it would be dilutive of roughly $0.06 to $0.08. And I think, we're tracking pretty well to that. No real notable change from what I had shared before.
Operator: And your final question comes from the line of David Dixon with FBR Capital Markets.
David Michael Dixon - FBR Capital Markets & Co., Research Division: Just a bigger picture question with respect to shift to HTTP/2.0 and SPDY. The question is really what's your take on the implications on the demand for Akamai? So this is going forward as we undertake that shift? Would be great.
F. Thomson Leighton: Yes. I think, the modernization of the protocols are all very helpful to us. As you may know, Mark Nottingham chairs the HTTP/2.0 steering committee, he's an Akamai employee. So we're working hard to get HTTP/2.0. I think, there's another shift coming moving from HTTP to HTTPS. Of course, SPDY is a secure protocol. I think, that's going to have pretty fundamental impacts on the ecosystem when caching devices can't crack the packet anymore. So carriers are going to face network efficiency problems and traffic routing issues, and Akamai is in a great place to help there because we have a very large HTTPS business, and many of the world's leading brands work with Akamai on their secured traffic. So we're supportive of the changes that we're seeing. We're helping to lead those changes. And I think, they're good for Akamai.
David Michael Dixon - FBR Capital Markets & Co., Research Division: Is it correct, just on that point though, that SPDY manipulates HTTPS traffic by reducing Web page load sending it through their proxy servers? Is that an issue going forward?
F. Thomson Leighton: Well, SPDY is independent of anybody's proxy servers. So that's a protocol. We support SPDY in the Akamai platform. Now HTTPS, typically, some of the cloud providers don't have HTTPS traffic proxying through them because they can't crack the packet and do anything about it. Now Akamai, with our HTTPS service, our SSL service, we do crack the packet on behalf of our content providers to accelerate their sites, to secure their sites, to offload cost from their sites. So SPDY, we support it. It is an HTTPS-based protocol. But it's -- so I'm not sure really where the question is coming from.
David Michael Dixon - FBR Capital Markets & Co., Research Division: Well, just the ranking, Google ranking HTTPS pages much higher than HTTP pages. I'm just wondering whether the redirection of those request going through Google proxy servers presents a challenge for the demand outlook for Akamai's services and the traffic going through Akamai servers going forward?
F. Thomson Leighton: No. I think, the things you're referring to actually help us. Akamai makes the response times be better. And as you know, the major search engines favor sites that are faster. And we see many customers, when they adopt a technology like Ion, their search rankings improve, and that does drive business to us. Also as I mentioned, as you have more adoption of HTTPS, that helps the company -- helps Akamai because we carry so many of the search for the major brands, whereas other folks don't and so they are not able to provide value there.
Tom Barth: Thank you, David. Thank you, Tom. I want to thank everyone for joining us this evening and in closing. We'll be having a number of investor events during the fourth quarter, and details can be found on the Investor Relations section of akamai.com. Additionally, please save the date for our 2015 Investor Summit to be held on Tuesday, February 24, 2015. And we want to thank you, all, for joining us, and have a nice day.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. You all have a great day.